Operator: Good morning, ladies and gentlemen and welcome to the IMAX Corporation Second Quarter 2014 Earnings Conference Call. All participants are currently in a listen only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Teri Loxam, Vice President of Investor Relations. Please go ahead Ms. Loxam.
Teri Loxam: Thanks, Valerie. Good morning and thanks for joining us on today’s second quarter 2014 conference call. Joining me today is our CEO, Rich Gelfond; and our CFO, Joe Sparacio, who will have prepared remarks. Also with us today is Rob Lister, Chief Legal Officer and Head of Business Development and Greg Foster, Head of Entertainment who is joining us remotely from our LA office. I would like to remind you the following information regarding forward-looking statements. Our comments and answers to your questions on this call may include statements that are forward-looking in that may pertain to future results or outcomes. Actual future results or occurrences may differ materially from these forward-looking statements. Please refer to our SEC filings for a more detailed discussion of some of the factors that could affect our future results and outcomes. During today’s call, references may be made to certain non-GAAP financial measures as defined by Regulation G of the Securities and Exchange Commission. Discussion of management’s use of these measures and the definition of these measures, as well as reconciliation to adjusted EPS and adjusted EBITDA as defined by our credit facility are contained in this morning’s press release. The full text of our second quarter earnings release, along with supporting financial tables is available on our website, imax.com. Today’s conference call is being webcast in its entirety on our website. With that, let me turn the call over to Richard Gelfond.
Rich Gelfond: Thanks, Teri. In the second quarter we showed continued operating leverage, delivering strong growth in net earnings compared to the same quarter last year which importantly translated to strong operating cash flow growth in the period. This was the result of margin expansion and disciplined cost controls. In addition, we continued to focus on developing our business to maximize our growth potential over the long term, including further positioning our China business to maximize its long term value, installing 30 new theaters, and signing 24 new theater deals around the world, testing new marketing strategies and making additional progress on our laser initiative. Starting with China, as we mentioned on our call in April, we closed a very important strategic transaction in the second quarter with the sale of 20% of our China business to two investors, CMC run by Li Ruigang, and FountainVest to help maximize the growth and future success of IMAX China. We’ve been pursuing this deal for about three years and the most important criteria for us was finding the right investors. We’ve had tremendous success building our business in China over the last decade, in part due to the partnerships that we've developed, including Wanda, TCL, many of the local studios and many others. But as you know, China is a complex country to operate in and we feel that having the additional influence and business acumen of these strategic investors could help us advance IMAX China to a higher level than we could have achieved on our own with our existing network of partners. In addition to the strategic input and relationships, a key reason for doing this transaction and bringing on strong Chinese investors was to help position us longer term for potential IPO of our IMAX China business which we believe can unlock significant value for our IMAX corporate shareholders. It can be difficult for North American investors to fully appreciate the value of our business in China. However, Chinese investors on the ground locally smelling, feeling and touching the IMAX brand can see how strong the brand and business have become in China and the potential long-term growth of the Chinese entertainment industry in general, and of IMAX in particular. Although, you can attribute specific things to our decision to enter into the partnership since announcing this deal in early April, we've accomplished quite a lot in China, including installing 12 theaters in China and signing seven new theater deals in the market in the second quarter, signing an additional 19 theater deals – sale deals with Shanghai Film Company this week, which is the number two exhibitor in China behind Wanda and is now the third largest IMAX partner in China, successfully getting into China every Hollywood title that we wanted to play in the quarter, including Transformers 4. That film opened day in date in China to record shattering success, had its global premier in IMAX in Hong Kong, featured IMAX cameras and included unprecedented IMAX focus marketing by both Paramount and Michael Bay. And we've also conducted many meetings with people from a wide range of business in industry to explore potential new business opportunities in the region. While we could have accomplished some of this on our own, the presence of our new strategic partners certainly helped facilitate a number of the events. Given the strong commitment we have already seen from these investors, we look forward to our par partnership and the incremental value we believe we can deliver in China over the next several years. Moving to our global network, we installed 30 new theaters in the second quarter across 13 countries. Our installations this quarter are well ahead of our original expectations for the period, primarily due to the acceleration of several theaters originally scheduled to install in the earlier part of the third quarter which was successful in opening earlier so they could play Transformers 4. Our signings activity around the globe also continued with 24 theater deals in the second quarter across North America, China, Russia, South Africa, Puerto Rico and Sweden, which represents our first theater in Scandinavia. We continue to see strong demand for IMAX and we’ve had my discussions ongoing with new and existing customers for additional theaters around the world. So far in July we have signed 22 deals for new theater systems which include the 19 with Shanghai Media Company that I just mentioned which brings us to over 80 signings so far year-to-date. Turning to the box office performance for the second quarter, IMAX generated $216 million of global box office, with 93 million or 43% coming from the domestic market and 123 million or 57% coming from the international markets. While our box office was down this quarter compared to the same time last year, our average domestic indexing or the market share that we take for each film we play has held up comparably to last year at approximately 12%. However, as has been fairly widely written about, the movies overall have not performed domestically as was expected, which has impacted our per screen averages. On the other hand, China has been very strong for us this year, with a robust box office and installations on schedule as they have been for years now. Our network in China has grown almost 44% since this time last year and our China box office has grown almost 47% over the same timeframe driven by titles such as Hobbit, Need for Speed, and the local language title Monkey King in the first quarter, and movies like Captain America, Spiderman, Godzilla, Edge of Tomorrow and most recently Transformers 4 in the second quarter. As noted earlier, Transformers 4 has done tremendous business for us in China and is now our highest grossing film ever in that market grossing around $35 million so far and surpassing the previous highest film, Avatar, by 50%. In fact, Transformers 4 on opening weekend of the top 100 comp boxes in China, 75 had IMAX theaters in them which is kind of a remarkable statistic. With this film we are all witnessing the power of the Chinese box office and the strength of the IMAX brand and network in the country which is promising for our continued growth in the region. In addition to China, Transformers 4 has also performed extremely well in many other international territories. The movie broke our all time international opening weekend record of 16.6 million with an international PSA of 62,000. Some territories to highlight include Taiwan which opened with an impressive 87,000 PSA, Korea with an 85,000 PSA and Russia with a $76,000 PSA. As we look ahead for the rest of the year, we have a number of potential box office titles that we are excited for, including Guardians of the Galaxy, the latest title within the Marvel Universe which opens in a few weeks and if we as a company had to pick a film that we think most people don't have on their radar screen, but we think we will do very well this summer, it would be Guardian of the Galaxy. Chris Nolan's newest film Interstellar in November which has significant portions of the movie filmed without cameras, and the final installment of the Hobbit in December. Looking further ahead, we believe that 2015 and 2016 are shaping up to be some of the strongest box office years in recent history with an impressive slate of film that line up very well with the IMAX fan base. Not only demographically, but they all play around three weeks apart, so it is very good play time and most of them don't conflict with each other, including titles in 2015 such as Fast and Furious 7, Avengers 2, Tomorrowland, which is film by Brad Bird, Jurassic World, the next James Bond and Star Wars. We’re excited that J.J. Abrams also recently announced his filming portions of Star Wars episode seven with IMAX cameras, calling it – quote, unquote – “the best format ever” on a social media platform. And a 2016 slate is also looking strong, with titles like Batman Vs. Superman, Captain America 3, Warcraft, The next Spider-Man, Avatar 2, and many more. Some of these up coming films such as Fast and Furious 7, Jurassic World and Warcraft will be played in IMAX as part of the multi-picture deal that we sign with Universal and Legendary this quarter to release up to 15 of the two studios upcoming films through 2017. This deal further underscores our strong relationship with the studios and their plans for IMAX to be an important part of the release strategy to the most highly anticipated live action 10-poll films over the coming year. In order to maximize the box office of our 2014 film, as well as to position us to fully take advantage of the exciting slate coming up in 2015 and 2016, we've been focusing on bolstering our film marketing, as well as increase in the awareness of the IMAX brand and differentiation. Our new marketing efforts highlight the unique aspects of the IMAX brand and experience which goes well beyond a big screen, and instead it's an end to end solution that provides stellar sound, fantastic visuals in both 2D and 3D, as well as quality control through real-time theater monitoring from a network operations center and in-theater maintenance. And of course it also includes end to end involvement by the world's best known Directors. We have conducted several small pilots to see what type of film marketing resonates best for different movies in different locations around the world. For example, you might have seen buses driving around New York City or L.A. that were wrapped with specially designed IMAX ads in advance of the release of Godzilla and Transformers to promote the films at IMAX. We will continue to invest in film creative when it prominently features the IMAX brand in the way that Paramount or Warner Brothers did on those releases. We’re also delighted that when Disney and Marvel decided to introduce the New Guardians of the Galaxy franchise to fans, they choose to do it through an exclusive IMAX marketing partnership. We gave fans around the world the opportunity to see a free sneak peak of 17 minutes of the film which played only in the sold out audiences who were very enthusiastic and generated significant online buzz. We are also working with our exhibition partners on various promotional and activation efforts. From a brand building perspective, we launched a summer of IMAX intensity campaign where we actively promoted our brand at various music and sporting events. This program has helped drive our brand visibility but it also delivered significant increases in our social media footprint and grown our email database, enabling more effective direct communication within marketing to our fans. In addition, IMAX and the Kevin Douglas family, our largest shareholder, donated an IMAX theater to the USC film school this quarter which will bring our world class format to the fingertips of aspiring Directors for years to come. It is an honor to empower these future filmmakers with the magic of IMAX and facilitate the use of our format for the earliest stages in their filmmaking career. And finally on our laser projection initiative, we have prototypes up and running and we continue to remain on track to begin the rollout by the end of the year. In addition, we are on budget and pleased that the product so far is delivering specification that are as good or better than we had originally mapped out. We excited to rollout our lasers technology to some of the largest screens in our network, starting with the upgrades at the end of this year and continuing through the next couple of years. With this product we will be able to fully transition our network to digital. Not only will we be able to deliver the brightness, color and contrast that we are used to with our film systems, but we are very optimistic that our laser system will actually exceed the quality of our film projectors in many important respects. Now with that, let me turn it over to Joe to go through some of the financial details from the quarter.
Joe Sparacio: Thanks, Rich. As Rich mentioned, effective cost controls, we delivered expanded margins and operating leverage this quarter which drove about 15% growth in adjusted net income compared to Q2 last year and contributed 21.3million of operating cash flow for the quarter. Let me go through all the pieces in more detail. Global box office of 216 million was down 2% compared to Q2 last year, primarily due to lower box office at the industry level, particularly in the domestic market. The overall domestic industry box office was down 18%, compared to the second quarter last year as several titles did not deliver the box office compared to last year's Q2 slate, which included films such as Iron Man 3, Star Trek and Man of Steel. Importantly as Rich mentioned earlier, the IMAX average domestic indexing for the films we played in the second quarter this year was in line with our average indexing in Q2 last year. Our box office this quarter skewed more international with 57% of the box office or 123.2 million coming from international markets and 92.8 million coming from the domestic market. Our global PSA was 300,000 with an international PSA of 345,000 and a domestic PSA of 256,000. In terms of our network, we installed 30 new theaters in the second quarter with 11 sales type installations and 19 JVs, of which five were hybrids. Our total commercial network as at the end of Q2 was 735 theaters, of which 408, or 56% were JVs. For the full year, we continue to expect to install a similar number of new theaters in 2014 as we did in – 2013. In addition, we continue to expect the mix of installations for this year to be about one third sales type and two thirds JVs, including approximately 20 hybrid JVs. For Q3, we currently expect to install approximately five sales type theaters and 15 joint adventure theaters of which five are expected to be hybrids. In Q2 we also signed deals for 24 theaters of which 20 were for new systems and four were for upgrades. At the end of June, our backlog was 419 systems of which 397 are for new theaters. About 90% of the theaters in our backlog are slated to be installed in international markets, and approximately 90% of the backlog are new builds. Total revenue of 79.1 million in the second quarter decreased by 3% compared to last year. Sales type revenue was 14.5 million in Q2 compared to 17.1 million last year, driven by the installation of 11 new sales and sales type lease theaters in the quarter, the same number as Q2 of last year. Remember that the sales and sales type lease line in Q2 last year included 3.1 million from revenue recognized for 10 previously installed digital upgrade systems for which revenue has been previously deferred. The company also installed four digital system upgrades in the second quarter of 2014 compared to one upgrade in the same period last year. Moving to our joint revenue line, we generated 19.4 million as compared to 18.3 million last year. We installed five hybrid theaters this quarter, compared to two hybrids in Q2 of last year. Total gross margin of 47.8 million came in 10% higher than last year's 43.6 million, resulting in a gross margin percentage of 60.4%, a 700 basis point increase compared to last year's 53.4%. The expansion was largely driven by lower DMR costs associated with only releasing digital films this quarter. DMR margins came in at 76.4%, compared to last year's DMR margin of 57.6%. We remain diligent in controlling costs and being more efficient in how we operate. As a result, SG&A, excluding stock-based comp of 18.8 million in the second quarter, was down 1% compared to 19 million last year. We continue to expect our full year 2014 SG&A excluding stock-based comps to increase by about 5% to 8% compared to the full year 2013. Stock-based compensation for Q2 was 4.7 million, and our full year expectation for stock-based compensation remains at approximately 16 million. Our R&D expense in the second quarter was 3.3 million, reflecting our continued development of our laser projection initiative. We continue to expect our full year 2014 R&D expense to be roughly 15 million. With regard to taxes, we finished the second quarter with a tax rate of 27.9%. We continue to expect the full year 2014 tax rate to be around 28% and an estimated 9 million to 11 million of cash tax. At the end of the second quarter, we had 21.2 million of tax assets remaining. In the second quarter we also recorded non-controlling interest of 472,000, primarily reflecting the 10% interest from the China investor’s minority stake in the IMAX China business. We continue to expect that the investor’s minority interest to be P&L dilutive by about $0.01 a quarter for the remainder of the year. I would also like to remind you that the second charge of the deal will close in February of 2015, at which point the non-controlling interest line will reflect the full 20% ownership. Our adjusted EBIDTA for the second quarter came in at 33.7 million, before the impact of non-controlling interest. There were 4.6% higher than last year. EBIDTA attributable to non-controlling interests was approximately 900,000 for the quarter. It is worth pointing out that as a result of doing fewer film-based movies for the quarter, our DMR film amortization was 3.6 million lower than Q2 last year, which has an impact on our adjusted EBIDTA calculation. In terms of cash flow, we generated 21.3 million in operating cash flow this quarter as compared to 9 million in Q2 last year. This results in free cash flow generation of 6.9 million in the quarter, 62% greater than the same period last year. Our strong cash flow generation this quarter reflects the disciplined spending in the quarter and expanded gross margins dropping to the bottom line. With that, I will turn it over to Q&A.
Operator: (Operator Instructions) And we'll move to our first question from Townsend Buckles of JPMorgan. Please go ahead.
Townsend Buckles - JPMorgan: Thank you. It looks like you were able to pare back on some costs in the quarter but you kept your full year guidance. Can you talk about what are your thoughts on these benefits and maybe where the highest spending is coming from in the second half, any opportunities to come in maybe a little bit better?
Rich Gelfond: There are opportunities to come in a little bit better, Townsend, and I would say we are going to sharpen our pencil in the second half of year. We are not changing guidance because there is always unanticipated things that come about, but we're going to try and carry over some of the things we did in the first half more into the second half. And as I think I have mentioned before the kinds of things we have done are we have a hiring committee and no one in the company can either fill on open position or replace someone unless it goes through the discipline of the hiring committee. We have been doing some different cost-saving things such as pooling service and we’ve been extremely focused on that T&E has been a matter of a great deal of discipline for us and I think hopefully we will be able to continue that in the second half of the year.
Townsend Buckles - JPMorgan: And, Rich, with the stock here at 52-week lows, how are you and the Board thinking of executing on the recent buy back authorization. Any sense on how aggressive you might want to take it here, especially with the initial China proceeds you have?
Rich Gelfond: Townsend, I think you have to analyze it on a day-by-day basis, right. I mean, the stock is here today. We don’t know where it’s going to be tomorrow. But in general, the repurchase plan was primarily driven by a desire to return some capital to our shareholders. As you know, at the end of the quarter we had no debt. We have $75 million in cash. This was the best quarter we’ve had in a long time in terms of operating cash flow generation. We are feeling very good about our cash position. And I think, you will see us act in the interest of the company as we discussed before with the twin goals of providing capital return and being opportunistic and with the good film slate shaping up for 2015 and 2016, see if we can create an accretive atmosphere.
Townsend Buckles - JPMorgan: Would you expect to be active in the near term?
Rich Gelfond: You know, I just don't want to comment on any particular day, Townsend, on what we are going to do. But we didn't put the plan in place just because it looked good in a press release.
Townsend Buckles - JPMorgan: Got it. Okay. Thanks. I will leave it there.
Operator: Thank you. We’ll move to our next question from Ben Mogil of Stifel Nicolaus. Please go ahead.
Benjamin Mogil - Stifel Nicolaus: Hi, good morning and thanks for taking my question. When you sort of look at right now, what you would sort of categorize as highly probable installs for 2015, both straight sales and JRSAs, how does that compare to sort of this time last year as you look out to 2014, are you seeing it sort of stronger, weaker, similar, and maybe even some geographic would be helpful, too?
Rich Gelfond: I think at this point, it’s comparable, maybe a little bit better given some of the recent deal that we've signed especially the deal we signed with Shanghai Film, so it could be comparable or a bit better, Ben. That’s how I would categorize it.
Benjamin Mogil - Stifel Nicolaus: Okay. And then in terms of big installation quarter, you're sort of keeping guidance the same on the installs. Did what you see in 2Q, is that sort of largely what you view to be sort of people installing ahead of Transformers, and sort of just taking out 3Q, is that what we should be thinking about it?
Joe Sparacio: I wouldn’t call it particularly taking out of Q3, but I would say that, yeah, you did see a shifting of units into the second quarter, and our yearly outlook for the year remains the same.
Benjamin Mogil - Stifel Nicolaus: Okay. And then Joe, last, while I have you on that, what was the average sale price for the straight sales in the quarter?
Joe Sparacio: 1.2 million, which again was up versus last year at 1.1 million.
Benjamin Mogil - Stifel Nicolaus: Okay. That’s great. Thank you very much.
Joe Sparacio: Thanks, Ben.
Operator: Thank you. We will move to our next question from Eric Handler of MKM Partners. Please go ahead.
Eric Handler - MKM Partners: Thanks for taking my question. Rich, it’s kind of interesting this year, nearly all of the signings that you’ve done this year are straight sales, versus last year and the last couple of years you’ve been extremely heavily weighted toward the JVs, any particular reason? A little bit more focus this year on the sales versus the JVs, how you are thinking about that balance going forward?
Rich Gelfond: I really don't think there is a particular reason except maybe regions of the world. So for example, you know in Russia that we won't do JVs, we will only do sales. And there are a number of signings in that area. Similarly in the Middle East, that's an area we tend to lean more heavily on sales than we do on JVs. The deal we just did in China was really motivated by Shanghai Film. They wanted to do sales rather than JVs and given our mix in China which is very heavily towards the JV side, as you know Eric, we like to have a balance between the two. So we really didn't push back and they were consistent with the margins. The sales prices were good. So we were comfortable with that. Western Europe is another place where it tends generally to be more hybrids in sales than there are JVs, but I don't think we could get a long term trend out of that at the current time. I think it was just sort of people wanted to do that and we didn't push back in order to have a fair balance. That's about all I draw from that right now.
Eric Handler - MKM Partners: Okay. Thanks. And just as a follow-up, you know, as you go into like the slower months of September and early October, you guys have done some re-releases in the past, you know you’ve had some success with like Jurassic Park and Titanic. As you look at some of these big franchises that are going to be released in the not too distant future, what are your thoughts about maybe doing all the Star Wars as re-releases, or you have – you do have other Jurassic Park films you could choose from or just going through the Marvel library again?
Rich Gelfond: Greg, you want to answer that?
Greg Foster: Sure. We are doing a re-release this September of Forrest Gump along the lines of what we did with Raiders of the Lost Ark and Top Gun, et cetera. The time to explore those are obviously in the shoulder period. There have been lots of conversations that we’ve had especially over the last couple of months, so the timing of your question is gratuitous about doing exactly that. I am obviously not naming specific titles. It wouldn't be appropriate, but I think people have noticed there is a great way to get an enhanced bite at the apple when you do re-releases. It is also good for other downstream markets. It is certainly not a core part of our business, but it is a nice way to bridge the gap between some of the blockbuster, and its something that we are looking to, but again, more in on opportunistic way and not something its going to completely move the needle but it is an idea that we agree there is some merit to it.
Eric Handler - MKM Partners: Thanks a lot.
Operator: Thank you. And we’ll move to our next question from Aravinda Galappatthige of Canaccord Genuity. Please go ahead.
Aravinda Galappatthige - Canaccord Genuity: Good morning. Thanks for taking my questions. Just a couple from me. I want to start off with the laser projectors. I know you are thinking about rolling it out at the end of 2014. Any kind of clarity or update with respect to what the economic model would be, are you thinking about maybe set of an upgraded model with a smaller margin or would it be more comparable to the newer sales that we see?
Rich Gelfond: We are still working through the economics, Aravinda. Obviously, it is coming out as I mentioned of the prototype phase and going into more of the productizing phase. We are in negotiations you may have read during the quarter that we entered into an agreement with Nextel, which was our laser supplier. And we continue to work with Barco on ways to get cost of good sold down, but it’s not nailed down yet in a way that I’m comfortable talking about it.
Aravinda Galappatthige - Canaccord Genuity: Okay, great. Thanks. And just moving onto the lower DMR cards that, I know, Joe touched on. Obviously, because of the lower – because of – most of the movies were digital, but is there any kind of read through to the rest of the year or even on a full year basis as we look beyond 2014 that maybe the DMR cost would be lower versus what you’ve seen historically, or is that just simply a Q2 event?
Rich Gelfond: Well, I think we started this process in the third quarter last year starting to wean off the film releases, so I would expect the impact in the third quarter to be a slight reduction over last year. Fourth quarter, oddly enough, because of the effort that will be put into inner stellar, both in terms of that being a full film and digital release, I would not reduce costs in the fourth quarter.
Aravinda Galappatthige - Canaccord Genuity: Okay. Thanks for that. And then just lastly for me, with respect to the LA Studio, the new LA Studio that you talked about building, any sense around the timing of that CapEx, are we already seeing some of that in the cash flow statement?
Joe Sparacio: Yeah. I mean, we've spent about 14 million, 15 million to-date. I would expect that a big chunk of the capital will be out by the end of the year and as we go into next year, there’ll be a piece next year, as well.
Rich Gelfond: Yeah. And just to remind you that we’re going to take out a – we’re in the process of finalizing a facilities loan against the property, so we'll take that cash back and we'll have most of it when we close that loan, which will be in the next month or two.
Aravinda Galappatthige - Canaccord Genuity: Okay. Thanks. I'll leave it at that.
Operator: Thank you. We’ll move to our next question from James Marsh of Piper Jaffray. Please go ahead.
James Marsh - Piper Jaffray: Great, thanks very much. Two quick questions here. One on Mockingjay that apparently is not going to be released in IMAX and domestic screens until the end of the year, I guess if you could give us just a little bit more color on that? I realize films like Hunger Games and Divergent might typically not playing as well as you know that same hardcore fan boy, it’s just hard for me to imagine that Interstellar could be running that strongly in its third week. So can you help me just understand that decision? And then secondly, just related to Russia and Central Europe, obviously it has been a great market for you guys, probably your best international market outside of China over the last few years. Just help us think about how this impact of the unrest in Ukraine affects your business either directly in that market or indirectly in Russia and Eastern Europe, does it any impact on operations in your mind, any impact on future system sales or should we worried about any sanctions or anything like that just kind of flush that market out for us? Thanks.
Greg Foster: Sure. So on your first question James about Mockingjay and Interstellar, as you know one of the things that’s been the key to IMAX in success has been our relationship with film makers and their willingness to do things like use IMAX cameras, promote the film, put IMAX DNA into the films, and some of the most successful films we have ever done have been with Chris Nolan and have surrounded his use of the cameras and infusing IMAX DNA. And I have not seen Interstellar or those several people and our organization have including Greg and we’ve signed NDAs so we can’t talk about it. But let’s suffices it to say that Interstellar from our point of view lives up to everything we expected and then more so. And about half of the film is films with our cameras. We cannot expect someone like Chris Nolan or other filmmakers like J.J. in Star Wars or Michael Bay in Transformers, which just happened to not only technically use IMAX’s part of the film but also go out of the way to promote the film. And as you know I mentioned it before which J.J. tweeted best format ever. If we treat them like one weekend and out or two weekends and out. So, yes, there is always a short term cost in not rotating the film out because maybe there is a good film and it will play for a weekend really nicely. That’s for 35-millimeter guys to do and that’s PLT guys to do. And we’ve looked at our results on a PSA basis and we looked at the last five years where we have been, and we think that’s where we are positioned as a company. So, yes, you are right, I wish we could do everything all the time, but strategically it is much better for us to align ourselves with the preeminent filmmakers in the world and to get special treatment and special play gates and create a differentiated experience. On your second question, we haven't seen any affect yet in Russia or the Ukraine from the events going on there. As a matter of fact, the PSAs were surprisingly good in both places for Transformers 4. Obviously you never know how situations evolve and how the world changes, but none of the sanctions apply right now. As a matter of fact, we have a fairly robust number of discussions going on for additional theaters. So at the moment there is not a big concern there.
James Marsh - Piper Jaffray: Okay. Good. Thanks very much.
Operator: Thank you. (Operator Instructions) We’ll move to our next question from Steve Frankel of Dougherty Company. Please go ahead.
Steve Frankel - Dougherty Company: Good morning. Maybe if I could ask Greg, given the success of Transformers in China and the way it’s swung the pendulum back towards a Hollywood films as a percentage of the overall box there, what do you expect in terms of blackout periods between now and the end of the year, and what is your pipeline of local content look like?
Greg Foster: Well, first of all, that’s the right question. And there is a local title coming out August 1st, which we’re actually a part of called White Haired Witch and that will play into a couple weeks in starting around August 15th when How to Train Your Dragon 2 comes out, all of the sudden they go back to the Hollywood products. So, it does fits in starts, but one of the advantages of having our international film development business, which Anthony Vogels runs is that we’re able to see these in advance and be able to have plenty of content to move into those periods of time. They don't call them official blackouts anymore. They just kind of happen and you have to be on the ground and have your eyes and ears open. And so what we've been able to do for the last two plus years, I think quite successfully is make sure that whether there is an unofficial blackout and they are playing only Mandarin titles or the Hollywood titles are getting in, to get our name on all the paperwork. So again we’re covered on both ends. As you look into the end of the year, there is always a China-only title situation in December. And we’re very covered on that. I'm sure many of you have heard that we’re doing Gone with the Bullets. And then I think right now between the 1st of January and at the end of Chinese New Year, we've been offered 11 Chinese titles to pick from. We obviously won't do all 11. We will do a handful of them, but we are covered on both ends I think quite successfully.
Steve Frankel - Dougherty Company: And what do you anticipate will happen with Guardians, will that play in China?
Greg Foster: I believe Guardians will in fact I believe there is already a date. As a matter of fact, I know there is already a date.
Steve Frankel - Dougherty Company: Okay. Thank you.
Operator: Thank you. And we’ll move to our next question from Daniel Ernst of Hudson Square. Please go ahead.
Daniel Ernst - Hudson Square: Yes, good morning. Thanks for taking my question. Two, if I might. First, Rich, on your prepared comments about China and how your thought was that U.S. investors didn't fully comprehend the business there. I am curious to understand better what you think they don't understand I mean clearly we know here domestically your per-screen metrics over index, the industry have, and I think most people know that China has been one of the fastest growing markets, I think is the number two or three market in the world so maybe it's just me, but it seems like the opportunity there is reasonably obvious I don't know what they don't understand? And then my second question, just to clarify on the marketing points that you guys made, are we talking about a shift in spend in how you approach marketing and branding of IMAX, are we talking about an absolute dollar amount? And then, either event, as you tie IMAX to certain film releases, is there any gaining factors in working with the studios to enable them – enable you to say see this film, see Transformers, see Star Wars in IMAX? Thanks
Rich Gelfond: Okay. So on your first question in terms of China, what I don't believe U.S. investors understand us, I don't think they understand how good the backlog is in China, how we get a lot of questions about the backlog in China. And in fact, for every single year since we’ve been in business with Wanda, we haven't only met what was sort of laid out at the beginning of the year in terms of installs from the backlogs, but we have exceeded it every year. You know, we continue to get questions everyday at every investor meeting is the backlog in China real? And I don't think they understand that Wanda is the largest exhibitor in the world and the largest real estate player in China and in fact, the backlog, I believe, in China is as good as anywhere and certainly better than some other countries. That would be one thing. Another thing is I don't think people understand how broadly our brand is known and accepted. I mean, my statistic, 75 of the top 100 theaters in the whole country for Transformers had an IMAX theater in them. We do not have that brand drawing power anywhere else in the world. Remember, our backlog is over 400 theaters. So, we are doing over 10% of the country with only roughly a third of our theaters open there. Another thing, I think people put too high a discount rate on China. I think people talk about a slowdown, but you will get other markets and during economic slowdowns, the exhibition industry and seeing movies and entertainment does pretty well. I think in terms of the remaining territory, I think there is a lot more to go. I think in terms of other products and services, our brand – its largely because I think the markets developed later, so in a western market, I think IMAX had to dislodge kind of an existing order to put itself in the middle of the entertainment landscape, where as I think in China, when we started there were 2,000 screens in the whole country. Now there’s 20,000. We grew up with cinema in China. And I think we are kind of, if you had to compare our brand in a way, I’d say it kind of compares to Starbucks in that way, where we’re really ubiquitous and people say should we see movie this way or an IMAX, just much better known. And I think you will see that if we go public in evaluation we get there. In terms of the second part of your question about marketing, the answer is we've upped our marketing spend over the last couple of years and that’s been included in where our guidance has been. It’s too early, because we haven't done the budget, but in 2015 I think we’re going to be able to shift more dollars around. So, I think we'll be able to increase marketing spend by taking the dollars from other parts of our budget, particularly R&D as we finish the laser developments. So, I think there will be incremental spending, but not in a way that’s going to materially change our SG&A spend rate. And in terms of the studios, they are incredibly supportive of pursuing our brand strategy in conjunction with supporting their movies. And I have to say that two example, one is for Transformers, the world premier was in specially constructed IMAX theater in Hong Kong, which Paramount shared the cost of with us. And then in China, the premiers were both held at IMAX theaters and Paramount was fantastic at integrating us into the marketing campaign. And as we said during the prepared remarks for Guardians of the Galaxy, when Disney/Marvel wanted to do a special promotion in order to help get it out of the gate and position it at the right way, I mean they used IMAX theaters all over the world to do 17 minutes. And in fact, after that showing the tracking improved to a significant extent. So I think the studios understand that the ability to attract people at a premium price and IMAX theaters help not just IMAX and not just there in that small way, but positions the movie in a bigger way and helps them overall, so we have gotten tremendous support.
Daniel Ernst - Hudson Square: Great. Thank you.
Operator: Thank you. And we’ll move to our next question from Jim Goss of Barrington Research. Please go ahead.
Jim Goss - Barrington Research: Okay, thank you. I was wondering if you could talk a little bit about the softness in the PMA -- PSA in the latest quarter and the first couple of quarters based on the tough comps and how you are feeling about the third quarter and fourth quarters this year with the schedules you have vis-à-vis the movies from last year?
Rich Gelfond: So Jim, first of all I have to rephrase part of your question. I mean I think there has been softness in the PSAs in the domestic market, but certainly in many of the international markets there hasn't been softness in PSAs. And since we are in 58 countries, obviously it affects us differently than companies that operate only in the domestic market. In terms of North America, we spend a lot of time thinking about it and debating it and there are a lot of possibilities, the 3D percentage has been tracking lower. That could be a factor. The economy is not so great. Price could be a factor in it. There may be a certain burnout on sequels. Certainly the World Cup did better domestically than anyone expected it would have, so that could have affected it. Some of the films just aren't working this year the way people envisioned. That’s just a function of a film by film thing. On the other hand, if you look at measures of IMAX and how we are performing compared to the domestic box office, it is completely consistent with other years. Meaning, you look at measures such as percentage of the Multiplex. We have done virtually identical percentages of the Multiplex. When you look at indexing, which I talked about in my remarks, our indexing has been very consistent with where it’s been before. So, there is no evidence that we are doing any worse other than the fact that the domestic market isn't having as good a year as people expected. I tend to think, and you know, either I have been here long enough and I am right or I have been here too long and I am burned out by it, but I tend to think that people always look for trends in the movie business. After two weeks there is a trend and after four weeks there is another trend. I think the movies just haven't touched the movie-goers this year and we haven't built a sense of momentum in the market. There hasn't been one movie going into another movie. And I think people will say the domestic box office is troubled until it isn't. And I don’t – for the last five years, as you know, our box office – our PSAs worldwide have been between 1-1-and-1-2 with the exception of 2010 when we were way higher because of Avatar. And I think it’s collection of the movies. And I think in any given year it can be somewhat lower and then in any given year it could be somewhat higher, and I think all those factors go in, but I don't think it’s a permanent kind of trend.
Jim Goss - Barrington Research: In the second quarter, the blended average was down, so the domestic was enough to do that. And I’m wondering if you're hitting a tipping point, where international shares 57% in that show and grow, and international has higher PSAs, you would think you would have something that should take that metric higher on sort of a trend line basis from this point, shouldn't it?
Rich Gelfond: Well, as you grow your international, and that’s a bigger percentage and has higher PSAs, that’s right, Jim, it should. But I always issue the caveat it’s the movie business. Look at last year we’re kind of in a very similar place to where we were this year. And then along came Gravity and changed the paradigm and we still have a lot of good movies to go at the second half of the year, including Interstellar, which hasn’t been actively marketed yet, and I think it’s a portfolio, and we have to see that played out. So just by way of concluding, internally we thought it was a good quarter, we thought we demonstrated a lot of operating leverage. I think you especially have to look at the operating cash flow number, which I think was quite impressive. And I think we’ll see how portfolio theory works for the rest of the year and 2015. But for particularly 2015 and 2016, I think, we have a really strong slate. And I think, because of the global issue, just following up on Jim's question, I think we’re well positioned to do well over the next several years. And thanks for everybody, for joining our call.
Operator: Thank you. There are no further questions at this time. Please continue. There are no further questions at this time. Please continue. Ladies and gentlemen, this does conclude your conference call for today. We thank you kindly for your participation. You may now disconnect your lines and have a great day.